Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter 2010 ONEOK and ONEOK Partners Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, today's conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Dan Harrison. Sir, you may begin.
Dan Harrison: Thank you. Good morning and thanks to all of you for joining us. Any statements made during this call that might include ONEOK or ONEOK Partners’ expectations or predictions should be considered forward-looking statements and are covered by the Safe Harbor provisions of the Securities Acts of 1933 and 1934. Please note that actual results could differ materially from those projected in any forward-looking statements. For discussion of factors that could cause actual results to differ, please refer to our SEC filings. And now let me turn the call over to John Gibson, ONEOK Vice Chairman, President and CEO and ONEOK Partners Chairman, President and CEO. John?
John Gibson: Thanks Dan. Good morning and many thanks to all of you for joining us today and of course, for your continued investment and interest in both ONEOK and ONEOK Partners. Joining me on today's call are Curtis Dinan, Chief Financial Officer for both ONEOK and ONEOK partners; Terry Spencer, our Chief Operating Officer of ONEOK Partners and Rob Martinovich, our Chief Operating Officer of ONEOK. W e completed another successful quarter and year at both ONEOK and ONEOK Partners with all of our businesses performing well. At ONEOK Partners, we benefited from the first full year of operations of the assets we built during our $2 billion capital program we completed in late 2009, resulting in higher natural gas and natural gas liquids volumes moving through our assets, selecting fees and creating additional opportunities. Those projects will continue to contribute earnings growth through this year and beyond and set the stage for the partnership's next phase of growth which now totals between 1.8 billion and 2.1 billion in new projects. Our ONEOK distribution segment continues to benefit from our new, performance-based rates in Oklahoma, which reduced volumetric sensitivity and increased revenues in the warmer months. This shift in the segment earnings pattern is reflected in the lower fourth-quarter operating income compared with the previous year but higher year-over-year operating income. And, as expected, the energy services segments fourth quarter results were lower but were higher for the year as we have indicated it would be earlier. In 2010, we increased the ONEOK dividend three times and, an additional increase of $0.04 per share announced last month. This dividend increase is consistent with the forecast we gave last October, to increase the dividend by 50% to 60% in 2000 – by 2013. It is enabled by the cash coming to ONEOK from its ownership interest in ONEOK Partners, which increased its distributions to unit holders four times in 2010. This growth in earnings, distributions and dividends, is primarily the result of ONEOK Partners recently completed capital projects and, with our plans to invest another $2 billion plus at the partnership over the next few years, we are very confident in our ability to continue to grow. While we remain active on the acquisition front, evaluating many of the assets that are publicly known to be for sale and some that are not, we have not completed any transactions for a number of reasons. The most compelling one being that we have very attractive alternatives to grow through our internal capital projects. These projects, the ones just completed, the ones currently being built and the ones we are evaluating but not yet announced, provide us with very attractive returns. They also deliver stable cash flow growth that gives us the confidence to forecast our three-year growth targets and, the ability to consistently increase our distributions. Bottom line, we do not have to wait on the next big acquisition, probably at pricing multiples to grow and reward our investors at ONEOK or at the partnership. Our growth continues to be embedded with our own assets. Curtis will now review ONEOK Partners’ financial highlights and then we will ask Terry to review the partnership's operating performance. So, now let me turn this over to Curtis.
Curtis Dinan: Thanks, John and good morning everyone. John has already provided a brief summary of the partnership's fourth quarter and year-end results and Terry will provide additional detail in a moment. My remarks will focus on our financial results and outlook. In the fourth quarter, ONEOK Partners reported net income of $142 million or $1.09 per unit compared with last year's fourth quarter net income of $116 million or $0.93 per unit. For 2010, net income was $473 million or $3.50 per unit compared with $434 million or $3.60 per unit in 2009. 2010 results included a $16 million gain related to the sale of a 49% interest in Overland Pass to Williams Partners. That gain had a $0.16 per unit impact on the partnership year-end results. Also impacting the per unit calculation is the February 2010 public equity offering of 5.5 million common units, which resulted in additional units outstanding in 2010 compared with 2009. Distributable cash flow in the fourth quarter was $170 million, a 14% increase compared with fourth quarter 2009. For the year, distributable cash flow increased to $30 million to $588 million more than adequate to cover our 2010 distributions and maintain a 1.02 times coverage ratio for the year. The partnership issued its 2011 net income guidance in January in the range of $525 million to $575 million for the year with distributable cash flow in the range of $625 million to $675 million. Pending board approval, the partnership anticipates increasing the distribution a penny per quarter in 2011, building on the fourth quarter 2010 distribution increase to $1.14 per unit paid in February which marked the 17th distribution increase since ONEOK became sole general partner, accumulative 43% increase over that time. Capital expenditures for the partnership are expected to be approximately $1.1 billion comprised of $1 billion in growth capital, related to our $1.8 billion to $2.1 billion of growth projects announced today and $105 million in maintenance capital. Terry will provide an update on these growth projects in a moment. We have hedges in place to lock in margins on our expected equity volumes in the partnership's natural gas, gathering and processing segment which has the most sensitivity to commodity price changes. For 2011, we have hedged 69% of our expected NGL and condensate equity volumes at an average price of $1.40 per gallon and 74% of our expected natural gas equity volumes at $5.61 per MMBtu. For 2012, approximately 12% of our expected NGL and condensate equity volumes are hedged at an average price of $2.34 per gallon. As is our practice, we continually monitor the commodity markets and will place additional hedges as conditions warrant. At the end of 2010, the partnership had $430 million of commercial paper outstanding and $570 million available under the $1 billion revolving credit agreement that expires in 2012. The partnership ended 2010 with a debt-to-capital ratio of 50% and a debt-to-EBITDA ratio of 3.8. In January, we completed an offering of $1.3 billion of senior notes consisting of $650 million of five-year notes at a coupon of 3.25% and $650 million of 30-year senior notes at a coupon of 6.125% generating net proceeds of approximately $1.28 billion. After the debt offering, we have repaid all of our outstanding commercial paper and have a cash balance of approximately $900 million, leaving us well-positioned to repay the $225 million principal amount of senior notes that mature next month and to fund our capital spending program in 2011. At this time, the partnership does not anticipate any additional financing need this year but we continue to monitor the capital markets and will take advantage of opportunities that are presented. There is one item that I would like to highlight, related to the partnership's 2011 guidance. We expect the partnership’s interest expense to be approximately $12 million higher compared with what we provided in January. This amount will be offset by an increase of $12 million in equity earnings for the natural gas liquids segment for Overland Pass. This line item shipped reflects our financing of Overland Pass pipeline at the ONEOK Partners level versus at the joint venture level that we assumed in our initial 2011 financial guidance. Now, Terry Spencer will provide you with an overview of the operating performance of the partnership.
Terry Spencer: Thank you, Curtis and good morning. The partnership had a solid fourth-quarter operating performance from all segments, driven primarily by higher volumes gathered, fractionated and stored, and higher optimization margins in the natural gas liquids segment, due to increased fractionation and transportation capacity available for NGL optimization activities as a result of a large frac only contract that expired in September of last year. Volume increases in the natural gas gathering and processing segment, particularly in the Bakken Shale and the Williston Basin also led to higher earnings in the fourth quarter. I will now briefly discuss the operating performance of ONEOK Partners’ three segments. The natural gas gathering and processing segments fourth-quarter financial results were lower than the same period in 2009, due primarily to the sale of our bankruptcy claims with Lehman Brothers, lower net realized commodity prices, lower processed volumes in the mid-continent driven by natural production declines and lower gathered volumes from the reduced drilling activity in the Powder River basin in Wyoming. These increases were offset by higher natural gas volumes gathered and processed in the Bakken Shale as a result of increased drilling activity. The midpoint of the gathering and processing segment in 2011 operating income guidance is $182 million reflecting higher gathered and processed volumes in the Bakken Shale as well as new supply connections from Cana-Woodford Shale and Granite Wash development to our systems and plants in Oklahoma. For 2011, we expect our process volumes to be approximately 11% higher compared with 2010. We expect our gathered volumes to increase 5% compared with 2010, with growth in the Cana-Woodford Shale and Granite Wash development more than offset in declines in the Powder River basin in Wyoming. Now, moving to our natural gas pipeline segment. Fourth-quarter results, including our 50% interest in Northern Border Pipeline were solid. Earnings from Northern Border more than doubled compared with the same period last year due mainly to an increase in contracted capacity as a result of continued strong Midwest market demand. TransCanada announced on its conference call last week that a significant amount of Northern Border’s capacity has been contracted into the spring of 2012. The midpoint of a natural gas pipelines 2011 operating income guidance is $148 million, excluding equity earnings, reflecting nearly 90% of our pipeline of storage capacity, under firm contracts. This segments natural gas storage facilities remain an important component by enhancing our ability to maintain reliable deliveries during periods of peak demand and during weather related, well head supply averages by producers. Our storage facilities can deliver up to 1.7 billion cubic feet per day into the marketplace. Now, let's move to our natural gas liquids segment. As I discussed earlier in the fourth quarter, natural gas liquids segment benefited from having more fractionation and transportation capacity available for optimization activities and favorable NGL price differentials. Higher NGL storage margins and higher NGL volumes gathered fractionated and transported. Net NGL volumes fractionated during the fourth quarter were approximately 530,000 barrels per day, more than 96% of capacity. Further emphasizing that excess fractionation capacity continues to be in short supply industry wide. NGLs transported during the fourth quarter on a gathering lines were 403,000 barrels per day and reflect the exclusion of Overland Pass volumes, due to the September 2010 deconsolidation to an equity investment compared with 414,000 barrels per day for the same period last year that included Overland Pass. Excluding Overland Pass, the fourth quarter 2009 gathered volumes were 337,000 barrels per day. NGLs transported on our distribution lines in the fourth quarter were down slightly compared with the same period last year, due to much higher Midwest crop drop in demand for propane experienced in the fall of 2009. But, these volume still increase 2% year-over-year. Overland Pass pipeline gross NGL volumes continue to average approximately 120,000 to 130,000 barrels per day. The pipelines’ current capacity is 154,000 barrels per day. The robust NGL supply outlet, particularly in the Bakken Shale is necessitating continued expansions such as those we announced back in July. And, we expect the capacity to increase to 255,000 barrels per day during 2013. Arbuckle Pipeline volumes are currently averaging approximately 100,000 to 120,000 barrels per day and remained well-positioned to accommodate NGL volumes growth from the Rockies, Mid-Continent and Barnett Shale production growth as our access to more fractionation capacity in Mont Belvieu increases in the second quarter of this year from the fractionation services agreement with Targa at our Cedar Bayou facility that is being expanded. Current capacity of Arbuckle is approximately 180,000 barrels per day with plans to expand the capacity to 240,000 barrels per day in 2012. Let me point out the Arbuckle pipeline has emerged as a key connector of Mid-Continent NGL production, the Gulf Coast NGL fractionation. Accordingly, Arbuckle has expanded our north to south optimization capability, allowing us to capture more location price differential opportunities. With Arbuckle, our broad operating footprint and delivery capability to multiple market centers creates value for customers and for us. The natural gas liquids segment in 2011 operating income mid point is $326 million, reflecting higher fee-based earnings from increased NGL volumes and higher optimization volumes as a result of our having increase the fractionation capacity available to us in 2011 when a frac only contract expired last fall. In our 2011 earnings guidance, we assume a $0.09 per gallon Conway to Mont Belvieu at same price distribution compared with $0.10 price per gallon in 2010. A brief comment on how the partnership's natural gas and NGL assets perform during this winters record cold temperatures and snowfall. Not surprising to us, our field operations and back office employees performed exceptionally well during these harsh operating conditions and rapidly changing supply environment. Our businesses were affected by periodic supply outages resulting from well production free soft and processing plan interactions requiring swift and responsive adjustments to our operations and product scheduling to maintain deliveries to our customers. Our employees adjusted incredibly well to these difficult conditions and in particular, our natural gas pipeline segment did not have to curtail any firm or interruptible transportation customers due in part to our storage capability. I will now briefly comment on the recent events that caused a disruption to the NGL marketplace earlier this month. On February 8, we temporarily shut down our 160,000 barrel per day, Mont Belvieu, Texas fractionator as a precautionary measure due to a fire and resulting outage at a nearby enterprise NGL storage facility and, we were able to restart our fractionator the next day. Today, all of our Mont Belvieu facilities are operating normally. Our operations were not affected materially by the outage, due in large part, to the connectivity, integration and flexibility of our own collection of pipelines and storage assets at Mont Belvieu. Our NGL purity product distribution pipelines, the Sterling pipelines, were unaffected and continue to run at or near capacity. Volumes on our Arbuckle pipeline that delivers raw NGLs into our Mont Belvieu fractionator were not affected materially, delivering raw NGLs to storage while our fractionator was down. Accordingly, most of our process explain customers were unaffected by the outage. The petrochemical industry continues to recognize our NGL service capability, which we expect will lead to more opportunities to expand and grow our Mont Belvieu presence. Now, for some additional color on the NGL industry. The petrochemical industry continues to find ways to crack more ethane due to its continued strong price advantage. So, over the next couple of years, we see ethylene demand remains strong as the ethane to crude ratio remains relatively low. NGL infrastructure and fractionation capacity remains tight but will gradually improve as the frac capacity comes online over the next couple of years. Looking at the NGL supply picture, producers are very focused on liquid rich plays such as the Bakken, Cana-Woodford, Granite Wash and Eagle Ford Shales. Well, NGL growth opportunities continues at a rapid pace, much of the growth in volumes is being offset by the inherent natural decline of the base natural gas production, which exceeds 20% per year according to some experts. And, the decline rate is getting steeper. We and others believe that NGL demand will be sufficient over the next two years and that regional processing and NGL infrastructure expansions will continue to be needed. Now, a few comments on the status of our announced growth projects. In aggregate, we have announced plans to invest approximately $1.5 billion to $1.8 billion in the Bakken related projects with midstream infrastructure needed to allow producers to fully monetize their oil and natural gas reserves. We have announced approximately $1 billion in gathering and processing growth projects in the Bakken Shale which includes three 100 million cubic feet per day natural gas processing plants, the Garden Creek plant and related infrastructure and the Stateline I and II plants, which will quadruple our processing capacity in the region to nearly 400 million cubic feet per day. We also have more than 700 million in NGL infrastructure projects related to the Bakken growth which includes the 500 plus mile 60,000 barrels per day raw NGL pipeline referred to as the Bakken pipeline that will connect with Overland Pass. These projects are in various stages of development, engineering, design and procurement, with some under construction and all are progressing within our expected timeline. In addition to growth projects, we have already announced we are continuing to evaluate a lengthy backlog of natural gas in NGL related infrastructure projects including investments in natural gas pipelines, fractionator expansions or a new fractionator, NGL storage facilities and additional pipeline capacities both for raw NGL and purity NGL products. John, that concludes my remarks.
John Gibson: Thank you, Terry and congratulations to you and your employees for another outstanding year. Now, Curtis will review ONEOK Financial performance and then he will turn it over to Rob Martinovich to review the ONEOK operating performance. Curtis.
Curtis Dinan: Thanks John. ONEOK’s net income for the fourth quarter was $83 million or $0.76 per diluted share compared with last year's fourth quarter net income of $93 million or $0.87 per diluted share. ONEOK’s 2010 net income was $335 million or $3.10 per diluted share versus $305 million or $2.87 per diluted share in 2009. 2010 results include a $16 million or $0.04 per share impact from the gain on ONEOK Partner sale of a 49% interest in Overland Pass pipeline company to Williams Partners, completed last September. Rob will provide more details on the drivers of our operating results in a few minutes. ONEOK’s 2010 stand-alone free cash flow before changes in working capital exceeded capital expenditures and dividend payments by $339 million. This free cash flow increase was the result of bonus depreciation that ONEOK recorded due to the enactment of recent federal income tax legislation. Bonus depreciation will continue to provide us with benefits in 2011, more on that in a minute. By virtue of ONEOK’s general partner interest and significant ownership position, ONEOK received $304 million in distributions from the partnership for 2010, a 9% increase from 2009. At the partnership’s estimated distribution level as detailed in the 2011 guidance, ONEOK will receive approximately $328 million in distributions for 2011, an 8% increase over 2010. As a reminder, ONEOK’s income taxes on the distributions from the limited partner units it owns are deferred which contributes to the strong free cash flow that ONEOK generates. ONEOK liquidity position is excellent. At the end of the fourth quarter and on a stand-alone basis, we had $127 million in short-term debt, $30 million in cash and cash equivalents and $394 million of natural gas in storage. As of today, ONEOK has repaid all of its short-term debt as we continue to pull gas from storage to meet our customers’ needs. Our next scheduled debt maturity is in April of this year, when $400 million comes due which we will repay with cash on hand and with borrowings from our commercial paper program. Our current stand-alone, long-term debt to capitalization is 30% and our stand-alone total debt to capitalization is 40%, well below our 50-50 target. ONEOK significant free cash flow and financial flexibility provide us with several opportunities. As a reminder, the board authorized share repurchases of up to $750 million through 2013 with an annual maximum of $300 million. At this time, we have not purchased any shares that continue to evaluate the opportunity to do so. This authorization provides another method to return value to shareholders, however, we also remain focused on increasing our investment in ONEOK Partners, evaluating strategic acquisitions and increasing future dividends. Our 2011 guidance anticipates dividend increases of $0.04 per share, semi-annually during 2011, the first of which, ONEOK’s Board of Directors approved a $0.04 per share increased last month to $0.52 per share, representing an 86% increase since January 2006. This most recent dividend increase is consistent with the company's expected 50% to 60% dividend increase between 2011 and 2013. Last month, ONEOK issued its 2011 net income guidance in the range of $325 million to $360 million reflecting higher anticipated earnings in the ONEOK Partner segment, offset partially by lower expected earnings in the energy services segment. The financial guidance reflects stand-alone free cash flow of $235 million to $275 million, which also includes the benefit from the bonus depreciation, I described earlier. This range does not reflect any anticipated share repurchases, so obviously, if we were to repurchase shares under our authorized program, free cash flow would be reduced. Now, Rob Martinovich will provide an update on ONEOK’s operating performance.
Rob Martinovich: Thanks Curtis and good morning everyone. Let's begin with our distribution segment. Fourth quarter 2010 earnings were lower due to the exploration of the 2009 capital recovery mechanism in Oklahoma, recognized in the same period last year, offsetting those for higher margins from the new rates approved in our 2009 Oklahoma rated case. Expenses were higher due primarily to the recognition of previously deferred, integrity management program costs in Oklahoma now recovered in base rates. Natural gas volumes sold by the distribution segment were lower in the fourth quarter, due to warmer weather compared with the same period in 2009. However, this decrease was moderated by weather normalization mechanisms. Year-to-date operating income was up approximately $5 million, compared with 2009. due primarily to the new rates in Oklahoma, plus increased margins from higher natural gas shale sales volumes and other successful rate outcomes in all three states offset partially by a decrease in retail marketing margins. Expenses were higher, due primarily to the recognition of previously deferred integrity management program costs in Oklahoma. By design, the new Oklahoma rate structure reduces volumetric sensitivity by increasing fixed fees. This segments quarterly earnings pattern during 2010 experience less of a drop in earnings in the second and third quarter compared to the prior years. With the lack of any large rate cases of filings, we expect the pattern for 2011 to be relatively similar to 2010. Approximately two-thirds of our total margin comes from our residential customers with 73% fixed and 27% volume sensitive. In addition, a significant amount of our volumetric sensitive margin is stabilized by normal usage patterns and weather normalization mechanisms. This segments retail business had a difficult year, down approximately $8 million in margin from 2009 due primarily to the lack of price volatility that resulted in fewer customers locking in their natural gas price and lower volumes due to both warmer and wetter weather. In addition, expenses were up approximately $3 million due to the consolidation of administrative functions from Topeka to Tulsa and other one-time expenses. The midpoint for the 2011 distribution segment operating income guidance is $231 million, compared with $226 million for 2010. We expect minimal customer growth and relatively small margin increases from rate activities planned in 2011. Now, a brief regulatory update beginning in Oklahoma. A joint stipulation and settlement agreement was filed on February 10 for the parties agreed on the terms of an Oklahoma natural gas demand portfolio of conservation and energy efficiency programs totaling approximately $11 million annually and authorizes the recovery of cost and performance incentives through the performance-based rate structure. This settlement agreement was presented to the administrative law judge on February 18. We took the matter under advisement. The administrative law judge's recommendation will be submitted to the Oklahoma co-operation commission for final consideration. In March, Oklahoma natural gas will submit its first annual rate filing related to the performance-based rates in Oklahoma that were put in place in January 2010. To refresh your memory, this performance-based rate structure allows for a 75 basis point band above and below the authorized return of 10.5%. In this rate case, several writers including capital recovery were moved to base rates. Future rate adjustments are anticipated to be on a smaller scale than in the past depending on our actual returns. Working with other Kansas utilities, the Kansas Corporation staff and the citizen’s utility rate payer board, a joint report was filed proposing acceptable and reasonable reporting requirements related to affiliate transactions in lieu of potential affiliate and refinancing rules and regulations. The Kansas Corporation commission approved the filing on December 3. Also in December, the Kansas Corporation commission approved a $1.7 million increase in Kansas gas services, gas system reliability surcharge effective January 2011. In Texas, we filed an appeal with the railroad commission of Texas on May 12 to increase rates by $5.3 million in our El Paso service area after the El Paso city Council denied our rate request. Subsequently, rate case expenses were placed into a separate docket which effectively reduced the requested increase of $4.4 million. On December 14, the railroad commission of Texas approved a base rate increase of $850,000 annually, which has been implemented and $850,000 decrease in depreciation and amortization expense plus, the recovery of annual pipeline integrity expenditures via a separate writer. On January 7, we filed a motion for rehearing urging the rail road commission of Texas to reconsider several issues including the redesign in our El Paso service area. This morning, the commission denied our motion for rehearing. Lastly, an update on the railroad commission of Texas proposed rulemaking procedure on the replacement of steel natural gas service lines. Our first draft of the steel service line replacement rule was noted on last fall. Texas gas service along with a number of other utilities provided written comments in response to the proposal. The commission has taken comments from industry into consideration in a proposed final rule, which we believe both improves the clarity of their expectations and will enhance pipeline safety. We do not anticipate any material changes to our ongoing infrastructure upgrade efforts. Our final vote on the proposed rule is expected this morning by the commission. Any capital expenditures impact associated with replacing lines would be recovered through the regulatory process. We continue our efforts to grow our rate base by efficiently investing our capital in projects that provide benefits to our customers and our shareholders. In 2011, we expect to invest approximately $25 million to continue installation of automated meters in select residential communities. The target areas are in Oklahoma and Texas based on the quickest recovery and return on capital in combination with the areas of greatest expense savings. This investment follows our 2010 investment of $31 million for the installation of automated meters in Tulsa and Oklahoma city. As a result, almost half of Oklahoma natural residential customers have automated meters. These meters provide quicker, safer and more efficient greetings and a net reduction in expenses while allowing us to earn a return on these investments, creating a win-win for customers and the company. Now, let's turn to energy services. As expected, our fourth-quarter results were lower compared with the same quarter in 2009. This was driven primarily by a decrease in storage withdrawals from a reduced contracted natural gas storage capacity and lower transportation margins due to narrower Mid-Continent to Gulf coast location price differentials. Partially offset in these decreases was an increase in our premium services revenues due primarily to the decrease cost in providing the services due to the warmer weather in the fourth quarter of 2010, compared with the same period in 2009. Full year 2010 operating income was $131 million, up $7 million compared with 2009, due primarily to our storage margins that benefited from hedges put in place during 2009, that enabled us to capture wider, seasonal storage differentials and, our ability to capture incremental margins as a result of cold weather in the first quarter and hotter than normal weather in the summer. Our natural gas in storage at the end of the year was about 63 Bcf, up slightly from last year's 61 Bcf. We currently have 73.6 Bcf of storage capacity under the lease and as of February 18, 2011, we had approximately 27.1 Bcf of gas in storage. As part of our ongoing realignment of storage and transportation capacity, to meet the requirements of our premium services customers, our 2012 year-end leased storage capacity target is 65 Bcf. Our 2012 year and long-term leased transportation capacity target is one Bcf per day compared with our current long-term capacity of 1.1 Bcf per day. This capacity reduction targets those assets with lower than average unit margins. These actions will also reduce our earnings volatility and working capital requirements. Energy services operating income guidance for 2011 is $91 million. As we stated previously, the current business environment is indeed challenging. We continue to see narrow location and seasonal storage differentials which impact the value realized on our transportation and storage positions. These narrow location differentials are primarily a result of low natural gas prices and increased pipeline capacity. Low natural gas prices coupled with a flat forward price curve have reduced seasonal storage differentials. Our strategy is to achieve our 2011 operating income guidance include maintaining our existing premium service customers while adding new ones, maximizing earnings to reflect optimization activities, growing our market share with electric generation customers and working with producers to move their supply in constrained areas. Seasonal storage spreads and optimization opportunities will be dependent on where storage levels end up after the first quarter heating season. For 2011, we have hedged approximately 45% of our transportation margins and 41% of our storage margins, with approximately 100% of our storage margins hedged for the first quarter. Our general strategy is to execute hedges on both transportation and storage based on our forward view of the market and availability of market liquidity. Finally, I would like to reiterate our pipeline integrity efforts at both ONEOK and ONEOK Partners. Federal and state regulations require us to develop, implement and maintain formal integrity management programs for natural gas transmission and natural gas liquid pipelines that cross high consequence areas or HCAs. HCAs include areas with large population, navigable waterways and sensitive environmental areas. These regulations require assessments on relevant natural gas pipelines at least once every seven years while assessments on natural gas liquid pipelines are required every five years. For our natural gas liquid pipelines, we completed all required assessments by the March 2008 deadline. Natural gas pipeline assessments which include our gas distribution and gas transmission pipelines must be completed before December 17, 2012. All of our gas pipeline assessments are scheduled to be completed within the required inspection timeframe. Also, the integrity assessment program is not limited to only those pipelines in HCAs. Monitoring and testing are done on all parts of our pipelines as appropriate to verify the safety of our operations. Recently, as a result of the preliminary incident investigation findings from Pacific Gas and Electric San Bruno, California incident, the pipeline and Hazardous Materials Safety Administration issued an advisory bulletin to pipeline operators concerning the establishment of maximum allowable operating pressure or an AOP for regulated pipelines. The Advisory requires pipeline operators that rely on design, construction, inspection, testing and other related historic data in determining MAOPs to ensure the accuracy and completeness of these records. Upon issuance of this advisory bulletin ONEOK and ONEOK Partners business segments initiated and are continuing their reviews of pipeline data and documentation used to establish pipeline MAOPs. John, this concludes my remarks.
John Gibson: Thank you Rob and congratulations to you and your team on another good year as well. Thank you. A couple of final comments before we take your questions. As you all know, we announced a series of executive management changes last week. This is all part of our succession planning process to further develop and prepare our next generation of leaders so that they have the skills and experience to lead our continued growth and future success. While I have no plans to retire, our board and I believe strongly that we have the responsibility to our investors, our employees and other key stakeholders to make sure we have the right talent with the right skills, right experienced and a proven ability to lead in place. That is what this re-alignment was about, nothing more, nothing less. I have great confidence in all our leaders and know they will perform great in their new roles. I’d like to sing aloud and make a few comments about Curtis, who is participating in his last conference call, as CFO. He has done an exceptional job over the last four years in the CFO role, both at ONEOK and ONEOK Partners helping us finance the partnership’s growth while maintaining a strong balance sheet. His new role, leading the partnership’s natural gas business, will give him an important operating experience that will benefit him, and the Company well into the future. I would like to congratulate Curtis on his new role and personally thank him for what he has done for the company. I know those of you listening, who know Curtis, recognize how much he has contributed to our company as our CFO. And of course, I would like to extend my congratulations to the other leaders who are moving into their new roles. And finally, I’d like to thank our 4700 employees, whose hard work, dedication and commitment creates value everyday for our investors and customers. I thank our employees, every conference call and you may tune out my expression of appreciation knowing that it’s just a signal that we are getting ready to take questions. But, you should note that these last few weeks have been very difficult and challenging for our employees for many reasons. Along with the typical activities associated with the year and financial closings and reports, we experienced record low temperatures and snow falls across our operating areas. Along with enterprise experiencing a fire at Mont Belvieu that resulted in our shutting our fractionator for a day, and then we had to deal with the related issues the next day, including a loss of electrical power at the fractionator that resulted in yet another short shutdown. At all times, our employees acted quickly and safely to protect our assets while meeting our customer’s needs. Day in and day out, our employees continue to rise to the occasion and meet the challenges that inevitably come their way. They do what’s required to help our customers, to meet our financial filing deadlines and to deal with adverse weather conditions. And they do so under the most challenging of circumstances, safely. We have exceptional employees who make exceptional efforts, not just during difficult times, but every day. That’s why I take the time to thank them. I want our employees, who listen to this call, hear me tell you our investors, that I appreciate their efforts and realize that our financial and operating results are not just because of the efforts of our management team, but also because of what each and every employee contributes every day. So, again, I want to take this opportunity to thank our employees for the contributions and at this time, open it up for questions.
Operator: Thank you, ladies and gentlemen (Operator Instructions). Our first question comes from Stephen Maresca Morgan Stanley.
Stephen Maresca – Morgan Stanley: Hey, good morning everybody and thanks a lot for all the details. First question for you, John, and then I have a couple for Terry. You mentioned in your opening remarks, you’re thinking that ONEOK certainly has an attractive organic profile and looking more like you prefer that over acquisitions. Would you say at this point in time, knowing what we know what’s out there on the market that your confidence level has dropped a little bit in terms of being able to complete one of these given the competition out there?
John Gibson: I wouldn’t characterize it that way that we have a drop in confidence level. I think what allows us to have the confidence in continuing to grow the company as I mentioned in the comments, is that our asset had these embedded options but we continue to find opportunities to grow –- to those investments creating more value than we would by having to acquire earnings. So, the alternative of acquiring earnings in today’s marketplace continues to be very expensive. So, it’s not that we’ve lost confidence in our ability to acquire someone that’s – relative to the alternatives we have and where we invest our next dollar, we make more money for the unit holder and the shareholder by investing in these internal project as opposed to participating in some of the bidding activities that are taking place.
Stephen Maresca – Morgan Stanley: Okay. That’s what I meant to imply by the way, not confidence and execution just confidence and getting it done because things are getting you know price year than what your organic opportunities are.
John Gibson: Yes and as I said before, Steven, our bias is as operators.
Stephen Maresca – Morgan Stanley: Right.
John Gibson: And there are financial buyers out there who see ways to make money that perhaps we don’t – can’t quite comprehend in an asset operating model.
Stephen Maresca – Morgan Stanley: Okay.
John Gibson: So I am not saying that they are overpaying, but it’s hard for us to see it.
Stephen Maresca – Morgan Stanley: Right. Okay. Thank you very much. Terry, you talked a little bit about the Bakken at the opportunities there, can you update us on where you are on customer commitments on the gas processing plants and the Bakken NGL pipeline? Also as a subset to that like the backlog, where do you see as opportunity in and around the Texas area also?
Terry Spencer: Well, Steve, to answer your first question, the commitment with our producers is going very well. We have – we’ve reached a point where we’ve got as much is 1.5 million acres under dedication in the Bakken. That’s a very, very large position. And that’s increasing steadily. We were probably a 1,000,000 acres under dedication, probably six months ago, so making very good progress there. Those are long-term acreage dedications, percent of proceeds contract, so that is going very well. To answer your second question, I think the opportunities we see down in Texas are primarily in the natural gas liquids business. We see opportunity to expand our presence in Mont Belvieu. I think in particular in light of some of the events we’ve seen this recently, our chances of doing that have increased. So, you know, when we look at our backlog of projects and if we specifically address Texas of the fractionation projects as a possibility, further expansions of our pipeline infrastructure that feeds the Belvieu area as well as our storage capability down there. So, we see a lot of good opportunity there.
Stephen Maresca – Morgan Stanley: Okay. And final point and I’ll get back in line, do you have the fractionation capacity come off on September 1st, can you discuss how much that is and then what the plans are with that especially given the agreement you have with Targa that will begin middle of this year?
Terry Spencer: Steve, I really can’t go into telling you the volume other than I could tell you that it was significant.
Stephen Maresca – Morgan Stanley: Okay.
Terry Spencer: Okay. And that’s.
John Gibson: I may make a, it doesn’t address – it doesn’t address your specific issue, but think of it this way, if you look at the earnings announcement, you know that – by not having that capacity, which was reserved under that contract the opportunity costs associated with that was roughly $35 million. So, that capacity we couldn’t use to make, to make money with, we had to use that to fulfill our contractual obligations. That, as I mentioned to you several quarters ago is on us. We are the ones that lead in what we thought the increasing volumes on Arbuckle would be going into the fractionator. We’re the ones that didn’t think we fill up Arbuckle as fast as we did, so that is on us. That’s one way to think about it is that $35 million had we had the capacity would have been added dollars in 2010, relative to 2009. The other way I think about it is, it’s also an indication of our cost of honoring contractual obligations because I guess we could have, but obviously chose not to use that fractionation capacity for our own gain and then fight it out in the courts with somebody that we shorted. But obviously that’s not something we are going to do. But so, the answer is the capacity was large and the capacity was cheap.
Stephen Maresca – Morgan Stanley: Okay.
Terry Spencer: John, those are great comments. Steve, can I just say one thing?
Stephen Maresca – Morgan Stanley: Yes.
Terry Spencer: When we go back to the growth potential in Texas, there’s one other spot where we have assets and that’s in our Texas intra state pipeline business and we are looking at a number of power plant expansions that are occurring in West Texas. And, we see the opportunity to expand our presence and increase the level of service that we provide to our customers. So, let’s not forget about our Texas Intra State business.
Stephen Maresca – Morgan Stanley: Okay. Well thanks as always for the detail guys.
Terry Spencer: Thank you.
Operator: Thank you. Our next question comes from Yves Siegel of Credit Suisse.
Yves Siegel – Credit Suisse: Thanks good morning. Hey, Terry, just on the last comment you made, is there any way to sort of quantify that the amount of backlog you might have when you look at the range of projects?
Terry Spencer: You know, we probably could but for you, we are not.
Yves Siegel – Credit Suisse: Thank you.
Terry Spencer: I think we actually have, if you look – I think if you look back in some of our last year’s investors presentations, I think we attempted to do that at a pretty high level. We had a couple of tables that touched on it.
Yves Siegel – Credit Suisse: Okay.
Terry Spencer: Since then we have not publicly updated that. But, I think that’s about all I can say about that.
Yves Siegel – Credit Suisse: That’s fine. And just, just to be clear on John’s earlier comments about acquisitions, the way I think about it, it’s not mutually right so that, it would seem to me that you would continue to pursue a pretty aggressive organic growth program as well as…
Rob Martinovich: Do you want to answer that….
Terry Spencer: That’s absolutely true. It’s just because we just don’t overpay. I think that’s the one thing you can just never overcome.
Yves Siegel – Credit Suisse: Okay. And then, then the last two questions relates to maintenance CapEx. There’s a big jump in 2011. Can you talk about what the one-time nature is and sort of how you think about maintenance CapEx going forward and within the context of the one-time nature I think in one of the press releases you talked about downtime or turnaround time and some of the fractionators and how you think that may or may not disrupt the market?
Terry Spencer: Well, let me start the beginning. When you look at the Delta, that increase, a couple of things primarily drive that. You know, we had – the EPA has instituted some regulations that require specialized controls to be installed on gas compression equipment. So we have we have in that maintenance capital number that cost. We have and I am not sure I necessarily characterize this as one-time events, we have on a routine basis, we turn these fractionators around. And so, they are very expensive to turn around and we are going to be doing a couple of them in 2011 that we did not do in 2010. So, that’s going to be a bulk of that delta, that $30 million increase. And, what was your second question? Can you ask it again please I can’t remember?
Yves Siegel – Credit Suisse: Yes, just in terms of how do you – well in terms of the of fractionators, do you anticipate any sort of disruption in the market when you have to do the turnaround, typically how long does that take?
Terry Spencer: Really, no – there’s really no disruption because there’s plenty of storage down there in Belvieu. So, you know, a lot of the petrochemical facilities have their own storage under contract, they’ll pull – they’ll pull on their own inventories while these plans are going down. So it’s a pretty routine process and don’t expect any material impact marketplace when does happen. You might get just for very brief periods of time, some impact, but for the most part, not material.
Yves Siegel – Credit Suisse: And then how do you sort of think about ongoing maintenance CapEx beyond 2011? In other words is 70 million a good number or is it 100 million a good number?
Terry Spencer: I think $100 million is probably a better number.
Yves Siegel – Credit Suisse: Okay.
Terry Spencer: Going forward and especially in light of these EPA regulations and what I was referring to is what’s referred to as RISMAC [ph].
Yves Siegel – Credit Suisse: Okay. And then – that’s a lot of money, I will you tell you that. But anyway, does the last question just comes down to contract renegotiations, you know, from the press release it’s suggesting that you had a nice uplift during the year from contract renegotiations, can you talk about what the outlook for continued upside from contracts might be?
Terry Spencer: Sure. Well, on an ongoing basis, we have contracts coming up for renewal across all of our business units every year. And in particular in our natural gas liquids business and in our gathering and processing business which is where bulk of those renegotiations are occurring, we are seeing increased demand for capacity on our assets. And of course, that’s impacting the rates that we charge for gathering NGLs and fractionated NGLs as well as gathering and processing natural gas. So we’ve also seen the same impact on storage. So, we’re just going to continue to see that and there is going to be a tranche of uplift or upgrade, if you will, every year.
Yves Siegel – Credit Suisse: Great. Thanks guys.
Operator: Thank you. Our next question comes from Ted Durbin of Goldman Sachs.
Ted Durbin – Goldman Sachs: Hey guys, how are you doing?
Terry Spencer: Fine, Ted. How are you?
Ted Durbin – Goldman Sachs: Good. Hey, I want to start off with sort of the bigger picture question and part of it is tied to, you know, your friends down the street, and also that they have last week made a big announcement in terms of breaking up their company going forward. How do you think about kind of the way that, is that playing out, the industry may be potentially to some more – we have got some IPOs, folks that are more procured played general partner versus your more integrated business model. I’d love it if you just – thank you, have your thoughts changed at all based on some of the recent moves that the industry has made?
Terry Spencer: They have not.
Ted Durbin – Goldman Sachs: Okay. Just in terms of – could you elaborate a little bit more or just?
Curtis Dinan: Know, we like our structure, we’ve had the structure for, ever since we bought northern border. We think it works for us as we’ve discussed in many different times and see no real advantage changing our structure. I mean, when we look at it, we’ve certainly spent a fair amount of time looking at different structures, but for us it comes back to the fact that it was our vision and our integrated structure this works for us. And, you know, I think the results speak to that.
Ted Durbin – Goldman Sachs: Okay. That’s fair enough. And maybe I missed this, but have you actually been, have you been buying back stock at all or is that just something that you are still holding back on here, how are you thinking that? Is that versus the dividend increase that you’ve got? How should we think about that?
Terry Spencer: We have not been buying back any stock. We have the ability to do so, just why we went to the board in October and got that because it is a little hollow for us to say that one of our opportunities is to buy back shares, we didn’t have the authority. So we do have the authority, we have not done that. So we continue to look at buying earnings. We look at our internal projects, investments internally, investments in ONEOK Partners, increasing dividends which as Curtis pointed out, we’ve done a pretty good job of. And buying back shares, paying down debt, we’ve sort of done all of it, but here recently we haven’t bought any shares back but we have the authority to do so.
Ted Durbin – Goldman Sachs: Okay. Those are my questions. Thanks.
John Gibson: Thank you, Ted.
Operator: Thank you. Our next question comes from Carl Kirst of BMO Capital Markets.
Carl Kirst – BMO Capital Markets: Thank you. Good morning everybody and certainly congratulations to everyone on the role changes. Just a couple of cleanup questions, if I could, first Terry, and going back to Mont Belvieu in the fractionation that’s coming, maybe in particular what the target is that comes online here second quarter. How would you sort of define right now the tightness between Conway and Mont Belvieu mean that once that fractionation is available to you, should we really see Arbuckle, for instance, increase almost to its capacity, I mean, is there kind of a stair step change expected there?
Terry Spencer: Well, you are right on it, Carl. When that frac capacity becomes available, our throughput on Arbuckle will increase. And so as we talk, look at the North South of the Conway to Belvieu spreads or that demand for that capacity rather, that capacity is going to meet the market needs. So, I mean, that is what Arbuckle, you know, clearly provides for you. We won't be full right away on Arbuckle but by the time we get out to 2013, we are going to be pushing, pushing the envelope in terms of this capacity. And keep in mind, that the raw product that is going to make it down Arbuckle will feed our fractionation facilities and it will feed fractionation facilities of third-party. So we don't necessarily have to build more frac capacity in order to maximize Arbuckle.
Carl Kirst – BMO Capital Markets: So, and that's kind of where I was getting too because ultimately, as one of the conversations is more NGL storage, more NGL fractionation potentially at Mont Belvieu. Is it more sort of the Mid-Continent liquids that's driving that or is it just more because you are looking around at whether it happens to be Eagle Ford per meter what have you, is there just sort of a need for more fractionation, almost sort of independent of the utilization of Arbuckle?
Terry Spencer: Well, you know, I think there is a need for fractionation capacity all the way around. I mean, you know, clearly, the Eagle Ford you've got have fractionation capacity if that continues to grow at that rate everybody thinks it's going to grow at. Mid-Continent has been very strong. It needs, it needs more fractionation capacity but it wants it, the market wants it at Belvieu because that's where the incremental market is for that product. So, it's not just necessarily one particular spot, it is pretty much industrywide but barrels want to make it to the Gulf coast which is where you know the incremental market is. I hope that answers your question.
Carl Kirst – BMO Capital Markets: Yeah. That's very helpful. Thank you. And then maybe last question, maybe for Rob, just on the energy services and you talked, you mentioned that the – the premium margins regarding the fourth quarter benefited a little bit from the warm weather being (inaudible) I guess, purchasing that capacity cheaper. Did any of that perhaps flow through into the first, the first quarter or the cold snaps that we saw did that raise that just trying to see as we enter the year, that midpoint of guidance for energy services has upside bias to it you know much the way 12 months ago when we entered and we are looking at energy services for 2010, obviously, you guys exceeded that quite nicely.
Rob Martinovich: I guess, I would answer the question with regards to not, we’re not change in guidance during the period that we had the extremely cold weather, it was really, that was particularly challenging for our energy services folks as well. Two, because of the supply situation they were encountered, so they did a fantastic job, keeping their heads above water during that – during that time period and, with the help of pipeline control and our gas pipelines group. So, we've managed it very well but considering the conditions.
Carl Kirst – BMO Capital Markets: Okay. But don't necessarily look for upside bias into that?
Rob Martinovich: I guess again – I would say no. I'm not commenting on ‘11 guidance.
Carl Kirst – BMO Capital Markets: Fair enough. Thank you.
Operator: Thank you. Our next question comes from Selman Akyol of Stifel Nicolaus.
Selman Akyol – Stifel Nicolaus: Thank you. Appreciate all the color. As we think about storage and I appreciate the comments over at services, but as I think about partners, it's 100% fee-based and I was just wondering just sort of how much of that is renewing as you go into 2011? And then sort of what is your outlook giving comments over at services?
Terry Spencer: Why don't you start with a partnership. This is Terry. Let me give you the answer to the partnership question. As we look specifically at our natural gas storage, our contracts generally are – we've got about 25% of our contracts coming up for renewal every year. And at this point in time, we are seeing you know continued interest in our capacity and having no problems getting that capacity we signed.
Selman Akyol – Stifel Nicolaus: Okay.
Terry Spencer: I hope that answers your question.
Selman Akyol – Stifel Nicolaus: That absolutely does. And then as you think about Northern Borders, it sounds like, I don't know, it's running above your expectations, given that, you know you're seeing higher capacity contracted for or that is your know you doing better than what you thought three months ago, is that a fair statement or did you see this coming?
Terry Spencer: I think we – I mean we always view that asset, every member sitting at analyst meetings and presentations as much as three years ago, talking about how this particular asset was connected to one of the strongest markets in the U.S. and it was also connected to a very strong supply basis. So we've always had a lot of confidence in this asset. I think a particular, what the recent events have shown is this pipeline is extremely well positioned and it continues to be the low cost provider of service for gas wanting to come out of Canada. And it's clearly demonstrated that and the market recognizes it and that's why we are full.
Selman Akyol – Stifel Nicolaus: Appreciate the comments. Thank you.
Operator: Thank you. And our final question comes from Greg Spear [ph] of Tui Brothers [ph]. Actually it looks like Mr. Spear disconnect. I'm showing no further questions.
Dan Harrison: All right. Thank you very much. This concludes the ONEOK and ONEOK Partners’ conference call. As a reminder, our quiet period for the first quarter will start when we close our books in early April and will extend until first quarter earnings are released on May 3 with our conference call scheduled for May 4. We’ll provide additional details on the news release and conference call at a later date. Andrew Ziola and I will be available throughout the day to answer any follow-up questions. Thanks for joining us.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may all now disconnect. Thank you and have a nice day.